Operator: Good morning. Thank you for attending today's Stelco First Quarter 2024 Earnings Conference Call. My name is Foram and I will be your moderator for today's call. [Operator Instructions] It is now my pleasure to pass the conference over to our host, Trevor Harris with Stelco. Mr. Harris, please proceed.
Trevor Harris: Good morning, everyone, and welcome to Stelco's quarterly earnings conference call. Speaking on the call today to discuss our 2024 first quarter results will be Alan Kestenbaum, our Executive Chairman and Chief Executive Officer; and Paul Scherzer, our Chief Financial Officer. Yesterday, after the market closed, we issued a press release overviewing Stelco's financial results for the first quarter of 2024. This press release, along with the Company's financial statements and management's discussion and analysis, have been posted on SEDAR+ and on our Investor Relations website at investors.stelco.com. We've provided a link to the presentation referenced on today's call on our website as well. I would like to inform everyone that comments made on today's call may contain forward-looking statements which involve assumptions which have inherent risks and uncertainties. Actual results may differ materially from the statements made here today, so do not place undue reliance upon them. Stelco management disclaims any obligation to update forward-looking statements except as required by law. With that in mind, I would ask everyone on today's call to read the legal disclaimers on Page 2 of the accompanying earnings presentation, and also to refer to the risks and assumptions outlined in Stelco's public disclosures. In particular, the first quarter 2024 Management's Discussion and Analysis sections relating to forward-looking information and risks and uncertainties, as well as our filings with Securities Commissions in Canada, the appendix of our presentation and the non-IFRS performance measures and review of non-IFRS measures of our MD&A provide definitions and reconciliations of the non-IFRS measures that we use today. Please also note that all dollar figures referred to on today's call will be in Canadian dollars unless otherwise noted. Following today's prepared remarks, Alan and Paul will be taking questions. To maximize efficiency, we would ask that all participants who would like to ask a question please limit themselves to one question and one follow-up question before re queuing. With that, I would now like to turn the call over to Alan. Alan?
Alan Kestenbaum: Thank you, Trevor, and good morning, everyone. In the latter part of 2023, we saw an improvement in the market with respect to both demand and pricing that represented an opportunity for our business to deliver stronger results entering 2024. The first quarter was representative of the strength, the resilience, and versatility we have built in our business and the ability of our team to control costs and take full advantage of these favorable conditions by driving increased revenue straight through to the bottom line. In Q1, we generated CAD153 million of adjusted EBITDA, a 200% increase over the previous quarter. The resulting adjusted EBITDA margin of 21% was once again the highest amongst our North American reporting steelmaking peers, a position we have proudly held for 10 of the last 14 quarters. As a management team, we take great pride in this continued success. Our close alignment with shareholders has been at the core of our philosophy and let us to ensure that the deployment of our capital has always been in your, our fellow shareholders' best interests. As an example, last quarter we took the step of increasing our ordinary quarterly dividend and today we are again declaring an ordinary dividend to our valued shareholders of CAD0.50 per share, which annualizes to more than 5% based on the existing share price. In addition, during the quarter we took the step of repurchasing shares under the previously announced Normal Course Issuer Bid. As a result of these continued efforts to deliver value, we have surpassed CAD2.1 billion in capital returns to our shareholders since 2017, or more than 10 times the amount we raised in our IPO. When looked at as a percentage of market capitalization, this level of return leads by far the entire North American industry. We are extremely proud of this track record and intent to keep the interests of our shareholders front and center as we determine the best way to deploy our capital in the future. These results did not come by chance. They are a direct result of the tactical flexibility that we deploy in the day-to-day operation of our business. We have seen ebbs and flows in the market in recent years, both in terms of pricing and demand and seen the influence of inflationary pressures on the cost of our raw material inputs. But at every point in the market, our team and our business have been able to capitalize on the opportunities that the market presented while controlling our cost of production and delivering high returns for the benefit of all of our stakeholders. We have already begun executing on our plan that we announced and initiated this year to expand our already impressive industry-leading margins by increasing utilization of our downstream value-added capacity at the Hamilton Works in a way that enhances and diversifies the product mix and also increases our profit margins even further. While we continue to explore all options to grow our business, whether through organic growth or accretive M&A opportunities, we remain patient and disciplined. Our interest is in creating value for our shareholders. While we invest in all our assets, we will pursue those potential opportunities that have both attractive valuations and significant synergies. Thank you for your time this morning. I'll now ask Paul Scherzer to detail some of our financial results.
Paul Scherzer: Thanks, Alan, and good morning, everyone. The first quarter of 2024 was demonstrative of the true strength of our business and our ability to take advantage of opportunities in the market. While we did see an increase in revenue of 22% over the previous quarter, that was largely driven by a comparable increase in our average selling price, our industry-leading low-cost structure and our relentless focus on cost controls saw us drive that revenue through to the bottom line. The 200% increase to adjusted EBITDA and the 187% increase to adjusted EBITDA per net ton are representative of our capability to convert these market opportunities into value for shareholders. These results are in line with the guidance we provided last quarter, guidance that we were able to provide because of the confidence we have in our tactical flexibility business model and in our management team's ability to seize upon market opportunities. These results once again allowed us to deploy capital in a manner that benefits our shareholders through the payment of our recently increased ordinary dividend and the repurchase of approximately 162,000 shares under our Normal Course Issuer Bid. We have also preserved optionality for the future deployment of capital by being conservative in our approach to liquidity. For the second quarter in a row, we ended the period with CAD645 million in cash and with no borrowings on our revolving credit facility. As noted by Alan, this flexibility will afford Stelco the opportunity to pursue both organic and accretive growth opportunities as they emerge, without risk of compromising our commitment to our shareholders. While these metrics certainly paint a picture of our success during the first quarter of 2024, we also see optimism for the period ahead. In Q1, we realized an increase in shipping volume of 4% for a total of 636,000 net tons. For the second quarter, we anticipate shipping volume to be in the range of 625,000 to 650,000 net tons. We believe this relative stability in the market will afford our business the opportunity to leverage our relentless focus on cost and continue our strong record of generating cash from operations. This, of course, is central to our commitment to shareholders as we strive to generate value within our business and create opportunities to deploy capital in a responsible and strategic manner. As we move through the second quarter, we will continue to pursue measures that reduce our operating costs while maintaining a clean balance sheet. These principles have created a foundation of our business that has returned substantial benefits to all of our stakeholders and we will not deviate from our commitments. Overall, the first quarter was a positive start to our year and we are optimistic about our ability to continue building upon our success throughout 2024. Thank you for taking the time today to join our call.
Trevor Harris: Thank you to Alan and Paul. That concludes our prepared remarks for today. I would now like to turn the call back over to the operator for questions-and-answers. Operator?
Operator: [Operator Instructions] Our first question today will come from the line of Katja Jancic with BMO Capital Markets. Katja, your line is now open.
Katja Jancic: Hi, thank you for taking my questions. Maybe starting on the margin, you delivered a solid first quarter margin, but now prices have moved lower. Can you talk a bit about how we should think about margin in the second quarter or near-term?
Alan Kestenbaum: Yes. Let me first correct something. Prices have actually not moved lower with respect to second quarter because as we've discussed on multiple occasion, the cycle since 2021 has gone up and down with the same type of buyer behavior. Buyer strikes, prices drop, buyers come, rush in, prices shoot up. And that's what we experienced at the end of 2023, when you saw that in November, then prices start to shoot up in December because we booked in December and we had already been booked halfway through the quarter. At that point, when prices started to move, you really only started to see the benefit of some of those price increases occur late February and into March and into April and into May. So some recent markdowns in the -- in futures and CRU and other price indicators are really only starting to impact June. And so therefore, we have the benefit already where we're predominantly sold out for the quarter, we've got a little bit left. So some of the recent softness may impact some of our competition should have less of an impact on us. We do see the same cycle happening again. History has been repeating itself consistently since 2021, and we do expect prices which have, as you've correctly pointed out, been falling of late, A, not to impact us that much, but certainly, as we get through the next quarter, I think you're going to continue to see very good results from us as a result of the pricing cycle and booking cycle that we have. That may not be the case in June. We might see some softness in June, but as I said, we did a very good job of selling out as much as we could. And so, we're expecting to have a pretty similar-looking quarter. And then as we get into next quarter, I think we're going to see it again. The ongoing economy is good. Order patterns are such that buyers will probably come rushing in again all of months and we'll have yet another spike in the next quarter. That's what we're anticipating. So again, to repeat, the softness that you're referring to is very, very recent over the last couple of weeks, fortunately for us, we've done a good job of selling ahead to the quarter as much as we could, and that will impact to some degree towards the end of this quarter. But I expect, which should balance out into the third quarter as well as prices start moving up again.
Katja Jancic: Okay. And maybe as a follow up on the product mix, since you're trying to increase utilization of the value outside, how should we think about the mix going forward?
Alan Kestenbaum: So this is a dramatic, major and important shift to this Company. And if you recall, Katja, when we talked about this last quarter, we remain almost 50% underutilized on our cold mill, coating lines and painting lines. Each one of those facilities have different amounts, this is essentially, a CapEx free opportunity for us to go and expand that. We're being modest in our expectations. We do expect on an annualized basis to see an increase in that part of the business by over 15% as we get through this year and even much more next year. Very, very focused on making sure we take our top-rated performance that we have enjoyed in the hot rolled part of the business, to also make sure we deploy that in the downstream part of the business. These are customers that are much more used to just in time delivery, reliable deliveries, and we want to make sure that we're able to service these customers in a right way. So it's an incremental growth. We're going to see a nice bit of bump up this year to the tune of about 15% on an annualized basis. We're starting to see it already now. A little bit of that is even going to be reflected in this coming quarter, the current quarter that we're in right now and even much more so we've got pretty ambitious plans. We have a three-phase plan. It's going to roll in over the next two years. And the output of this Company, the footprint of the Company, the way this Company is viewed in terms of a full top-to-bottom supplier never sacrificing margins is going to be apparent over the next couple of years. So look for about 15% annualized basis as we get to this year. We'll update you for next year, but we're expecting a pretty valuable increase. Keep in mind, we've got the ability to -- we've got about 50% capacity utilization available in that part of the business. And, you know, we're working very, very hard at this new initiative to accomplish this. Just to remind everybody who may not have heard the source of this initiative, when we saw in December that Nippon is paying 9 times for U.S. steel, I look at our multiple today we're at 2.54, 2.54 that's 6.5 turns less than U.S. steel. It's unbelievable. And we look at our business and say like, wow, what are we doing wrong? What could we do better? We've got the highest margins in the industry. We've return the most capital of any company and yet we've traded at a paltry 2.54 multiple. And that calculation is very simple. You take our market cap, you deduct our cash because we have no debt, CAD645 million of cash. And you come to an enterprise value of 1.525. And you annualize our current quarter of about CAD150 million that's CAD600 million. And you come to about 2.54. And it's really a lot of multiple pickup. And one of the things we did after the last quarter and I mentioned this on the last call for those of you who missed it, I'm sorry and I'll explain it now. For those of you who've heard it, I'll update you. But what we've seen is like what does U.S. Steel do right that we could do better at. And one of the things that we know Nippon was very, very attracted by some of the things we could do, in terms of its penetration into key and core markets on the downstream, that's something that we have the ability to do. So we believe that this is not only going to result in higher profitability, and again, we're sitting in a leading profit margin position, 10 of the last 14 quarters, we've had the highest profit margin, including this very quarter. And based on what you've heard from others, we'll probably do it again this quarter. If we can get from 21% margins in a mediocre quarter and bump at another 5% or 10% out of that by shifting to higher value-added products. And when I say higher value-added products, I'm talking about higher value added to the customer and higher value to our shareholders, where we make more profits. We're going to have a machine here that's not only going to make more money, that get re-rated on a multiple basis to something a lot closer to what Nippon put forward for U.S. Steel. So that's the plan. We're on our way. We're very, very determined, and we expect that we're going to be successful at it and we're being modest. As I said, 15% annualized basis for '24. I hope to double that for 2025, and that's you guys posted on that.
Katja Jancic: Perfect. Thank you.
Operator: Thank you for your question. Our next question comes from the line of Bill Peterson with JPMorgan. Bill, your line is now open.
Unidentified Analyst: Good morning, Alan and Paul. This is [Bennett] on for Bill. I was hoping we could get a little more color on what you're seeing on customer demand from your different end markets, which are the strongest and weakest and how the order book's looking so far for the second quarter, please?
Alan Kestenbaum: The order book, as I just mentioned in the prior question, the order book is looking very good. We did a good job selling out early. We're in June right now. The latter part of June was a little bit less. We expect to fill out, unfortunately, did most of our selling when prices were higher. The demand has been steady in all areas, key markets, energy, construction, autos, service centers. It's really been steady. Everyone predicted certain reactions to interest rates to hurt construction and auto sales, but we're seeing steady demand from our customers. The ebbs and flows that we see is pricing-related. I think that the downstream customers have become much smarter and -- as they should, to what's going on in the steel market, and so they try and do their order patterns tied to when they see prices -- when they think prices have bottomed out, that's when they tend to come rushing in. But we follow very, very closely our customer inventories, the customer inventories are lightning yet once again as the prices drop, and we expect those customers to rush back in, give us another leg up on pricing. But underlying demand is really the key point. And you're asking the actual really most important question, what is the underlying demand look like in those key markets? And I would say from the top, construction, very good demand for products that go into things like data centers and warehouses and things like that. Same with resi, seeing good construction numbers there. We're getting good orders for our galvanized and coated products, a lot of it goes into residential. Then auto is steady, you guys have seen the SAR numbers, those are pretty steady. Oil and gas remains good, particularly on the oil side. So really across the board, we're seeing demand steady.
Unidentified Analyst: Great. Thanks for that color, Alan. And then real quick, given your leverage to spot pricing, I was hoping to get your thoughts on the reason spot pricing now being put in the market by two of your U.S. peers. What impact do you perceive is having on the market and/or potentially easing pricing volatility through the cycle?
Alan Kestenbaum: Really too early for me to give you a projection on how that's going to impact the market. There has been -- there is a CRU number that's published every week. This is yet another number, another data point. So we have several data points. We have the two producers that are putting out weekly prices, we have the future prices, and we have CRU. And I don't really see much of an impact just yet, and probably be happy to answer that question as we had a little bit of experience to be just six months down the road. And certainly, I don't see much of an impact, positive or negative to our business.
Unidentified Analyst: Understood. Thanks so much. Best of luck moving forward.
Alan Kestenbaum: Thank you.
Operator: Thank you for your question. Our next question comes from the line of James McGarragle with RBC. James, your line is now open.
James McGarragle: Yes, thanks for having me on. And congrats on the industry-leading margins. I just wanted to ask a question on the new core contracts. You know, we've seen lower gas -- natural gas prices and the impact on costs looking ahead. So Cleveland-Cliffs flagged around CAD20 to CAD30 per ton decrease in cost mainly on the back of their lower coal contracts and natural gas prices. Is that the right way to think about it for your business? And are we expecting those to sort of flow through costs in Q3 -- sorry, in Q2? Or is that more of a Q3 story? Thanks.
Alan Kestenbaum: Yes, we will start to see some of those costs drop in Q2 and Q3. Those are the right ingredients. It's natural gas, it's coal. So we will definitely see some of those costs start to positively impact our costs. We're already seeing that in Q2, and then it should continue to accelerate end of Q2 and Q3 as well, and Q4 for that matter. So we're anticipating to have some lower cost, and if pricing can stay on average through the year as we've been seeing it, we should be having a pretty good year and hope to be able to achieve all of our capital and investment initiatives and goals.
James McGarragle: And just a follow-up for me on some of the recent infrastructure announcements. We saw a big pickup in investment from the Government of Canada into the budget. We had that new Honda EV plant as an example. So on one hand, steel price is going to be driven by what happened in the U.S. market. But on the other hand, having some big projects in your backyard is probably going to be pretty good for business. So what type of impact do you see from these projects having on your business if you look a little longer term into 2025 and 2026?
Alan Kestenbaum: Yes, the impacts are excellent. There's been a lot of growth in Canada. There's the ones that you mentioned, the big infrastructure projects that are definitely consume a lot of steel. And we're right at the forefront to be able to service into that. And so that's really good. And then in addition to that, Canada continues to have an acute housing shortage. You drive around Canada, and the construction despite of higher interest rate environment is strong. And so that's also very, very good for us. And the other thing, since you mentioned the budget, there are a number of budgetary allotments for -- that directly will impact us in terms of certain investments that we want to make, that are working their way through. I'm really, really very excited in all of that. So the Canadian environment is very, very positive. You're right. We think a lot about the U.S. and we focus on the U.S., but we're in Canada and predominantly more than 80% of our shipments stay in Canada. And while the impact of pricing is very much related to what goes on in the U.S., the local demand in Canada is excellent economic planning that's taken place, especially on a provincial level in our home court in Ontario has really been wonderful. And we speak to these guys all the time. They're traveling around the world, getting guys like that to have come in and invest. And these are really, really exciting opportunities for us. Along with the other things that are in the budget, not enough time to go through them right now, but one of the very positive aspects in that budget that will impact us in a very positive way.
James McGarragle: I appreciate it and I'll turn the line over. Thank you.
Operator: Thank you for your question. Our next question comes from the line of Adam Schneider with Cormark Securities. Adam, your line is now open.
Adam Schneider: Hi, good morning. I'm just filling in for David today. I have a couple of questions about the free cash flow. Given your strong cash balance of CAD645 million, what are your plans for that cash this year? Is it NCIBs, growth CapEx, or acquisitions?
Paul Scherzer: So, you know, in terms of capital allocations, we break it down into three buckets. There's investment back in the facility. One thing we've learned, and I've learned over the course of my 30-year career, the importance of investing back into the facility. We put in over CAD1 billion of capital back into the facility. And we intend to continue to allocate additional cash accumulation into the facility to make sure we maintain reliability and our cost competitiveness. So that's one aspect of use of cash. Other as you pointed out, I mentioned in the prior call, that we have three capital initiatives this year. We've got share buybacks, special dividends, and ordinary dividends. And then, of course, investments back in the facility. With the way business is looking this year with our cash balance, we should be able to hit on all of them. Let me just remind everybody, we paid last year, a CAD3 special dividend, in addition to the annual current ordinary dividend of CAD2, CAD5 is a 12% return on the stock just on dividends. So we hope to be able to do that. We hope to be able to -- we expect to be able to do more share buybacks. We just started them at the beginning of March, and we intend to -- capital investments back from the facility, share buybacks, dividends. And then, of course, when you look at M&A opportunities, we try to be really, really smart and really long-term, and because we've got industry-leading metrics, we want to make sure that whatever we buy has enormous synergies. Nobody has the cost structure we have. There's nothing we can buy that's going to have the same profit margin we have. But we know with our capability and our know-how, and synergies, we can actually make acquisitions and participate in M&A that could be extremely, extremely meaningful to the shareholders of this Company. So very, very focused on that. There are not a lot of players out there that have the financial flexibility, know-how, experience, skill to go and actually execute a very successful M&A transaction. And so we remain very, very focused on that. But M&A is something that's unpredictable. It's opportunistic. We're not like Starbucks, we're going to go and build 200 stores this year or whatever it is. This is a Company that lives by being able to exploit opportunities. We have a very, very flexible balance sheet to enable us to do that. So when you think about capital allocation, think about CapEx, share buybacks, dividends and when M&A is available to us, we will be in a position to execute it on a way that's extremely accretive to shareholders.
Adam Schneider: Okay, great. That's very helpful. Thanks. And just a quick follow-up, with regards to your inventory monetization arrangement, is the expectation to use that less now given the high interest rate environment?
Alan Kestenbaum: Look, we have an internal rate of return on our investments of 25%. So the answer is no. We believe we can take our capital and invest it, and we don't need to sit and put it into working capital. So when we get to a place of interest rate, where we have no better opportunity for it, and it's better to own inventory, we'll do that. But we've become -- just look at our numbers, CAD2.1 billion of shareholder returns. I mean, we are so efficient in our working capital management. And even with the higher interest rates, we're able to continue to do that. I just looked at our dividends, our share buybacks, our special dividends. We've been able to do that. So this is a -- we always look at what could we do with our capital. And as I mentioned on your prior question, these are investments in the facility. We have a minimum threshold of 25%. That's a heck of a lot more than the interest we pay. And so we're going to continue to be really, really smart and efficient with our working capital. We, of course, always have the ability to pay that down, if we thought that was the most efficient thing to do. But we're always looking at efficiency and how do we make the best use and value out of our assets.
Adam Schneider: Okay, great. Thank you. And sorry, just one quick one. I know you mentioned the cyclicality earlier of the steel price, but just wondering, quickly, what your expectation is for cost per ton this year?
Alan Kestenbaum: They're going to go down.
Operator: Thank you, Adam, for your question. Our next question comes from the line of Bill Peterson with JP Morgan. Bill, your line is open.
Unidentified Analyst: Thanks. Bennett on again here. Just want to squeeze one more in. Alan, you've done a great job of outlining the capital allocation framework as it relates to the buyback dividends, CapEx. It's good to see the strategy unfolding with greater leverage downstream. But I wanted to focus a little bit more on decarbonization. In the past, you've spoken about a potential investment on this front. So wondering if there's any updates there on what the opportunities are for potential government support?
Alan Kestenbaum: So on the government support and decarbonization, we've had major advancements on all fronts, both in terms of technology, government support, and otherwise. The government will dictate the timing of those announcements. So I'm not at liberty to give you precise programs that have been awarded to us, but that will come out soon, and everything we planned on, we alluded to in prior conversation is happening and then some.
Unidentified Analyst: All right. We'll look forward to the update. Thank you.
Operator: Thank you for your question. There are no additional questions waiting at this time. So I will pass back to Alan Kestenbaum for any closing remarks. Thank you.
Alan Kestenbaum: Thank you very much, everyone, for your participation today. As always, we always remain available to all of our analysts, shareholders, everybody. I think we pride ourselves on being open, being available and really look forward to any questions that anyone has, please feel free to reach out to me or Paul or anybody else with any questions, ideas, concerns, and always happy to address them in any format. So I wish everyone a good day, and we'll speak to you next quarter.
Operator: This concludes today's Stelco's first quarter 2024 earnings conference call. Thank you for your participation. You may now disconnect your lines.